Operator: [Starts Abruptly] Local advertising revenue increased 2% and 2.8% excluding political revenue. Excluding revenue from political and non-recurring festivals and excluding these Northeastern markets, total net revenue improved 10.3%. First quarter live event net revenue grew 5.1% over the prior year period or approximately 60% excluding those non-recurring festivals previously mentioned. Our first quarter live event activity was driven primarily by our non-music events including anchor events such as our On Tap craft beer festivals and consumer expositions. Regarding the non-recurring music festival, we made the strategic decision not to repeat two multi-day music festivals that we operated in the first quarter of 2014. As you may recall, we approach live events as a principal risk taking and brand building business. While these two events contributed $2.7 million of revenue in the first quarter of 2014, the financial prospects going forward do not need our return threshold and therefore we determine not to produce these events in 2015. As such, we believe it makes sense to look at our results excluding these two non-recurring festivals. Other media and entertainment net revenue grew 29% in the first quarter of 2015. Growth within other media and entertainment continues to be driven by our digital marketing services and national digital offerings. Last month, we announced the successful completion of the refinancing of our capital structure. We are extremely pleased with the outcome of the refinancing, which provides us with a long term capital structure at interest rates which we view as very attractive and is expected to result in approximately a $11 million in annual interest expense savings. With that, I will now turn the call over to Stu for further details on our financial results.
Stuart Rosenstein: Thank you, Steven, and good morning, everyone. As a reminder, our first quarter results discussed today are on a pro forma basis. They are pro forma for all material M&A activity completed by March 31 as if they had occurred at the beginning of the reporting and comparison periods. Importantly, there are no revenue adjustments necessary in the first quarter. So pro forma revenue results are the same as they would be on a historical GAAP basis. Our pro forma direct profit and adjusted EBITDA metric are adjusted to reflect the expenses that were incurred in connection with the WE Fest music festival in the first quarter of 2014 in order to provide a meaningful comparison. As a reminder, we acquired WE Fest in the fourth quarter of 2014. Please refer to the tables that we have provided in our earnings release, which provide GAAP results with a bridge to our pro forma results as well as our non-GAAP performance measures. Unless otherwise stated, all the financial results discussed will be on a same store basis, pro forma for these completed acquisitions. For the quarter ended March 31, 2015, net revenue equaled $81.1 million, up $2 million for an increase of 2.5% from the same period last year. Local advertising revenue for the quarter equaled $65.1 million or a decrease of approximately $200,000 or 0.3% from the prior year’s quarter. This included approximately $300,000 of political advertising revenue in the quarter versus $600,000 of political advertising in the first quarter of 2014. Excluding political, local advertising revenue increased 0.1% or approximately $100,000 in the quarter. Live events saw a revenue increase for the quarter of $400,000 or 5.1% to $8.2 million over the same period last year. Excluding the non-recurring festivals, this represents an increase of 59.7% or $3.1 million over the prior year period. This increase is a reflective of increases in the number of events we held, the number of attendees at each event and the revenue per attendee. Other media and entertainment revenue equaled $7.9 million for the quarter, which was an increase of $1.8 million or 29% over the quarter ended March 31, 2014. This increase is reflective of the strength across our digital marketing services and national digital businesses. Total operating expenses increased 4% or $2.3 million as compared to the same period last year, primarily related to the increase in local advertising expense, another media and entertainment operating expenses. Our expense increase outpaced our revenue increase as a result of softer revenue in our local advertising segment due to the harsh weather, as well as planned investment in sales training, digital video offering and accelerating the rollout of certain of our live event series. We expect these initiatives to have a positive impact on the revenue in subsequent quarters. This resulted in first quarter total direct profit of $19.8 million, a decrease of $400,000 or 1.9% over the same period in the prior year. Corporate expense for the quarter increased approximately $500,000. This increase was driven primarily by new public company costs. Pro forma adjusted EBITDA for the quarter was $14.5 million, down approximately $900,000 or 5.6% for the quarter. On an as reported basis, depreciation and amortization expense for the quarter decreased $700,000 or approximately 16%, which was primarily attributable to a decrease in amortization of our software development costs. Also, on an as reported basis, for the three months ended March 31, 2015, interest expense decreased $1.5 million or approximately 13% as a result of us using a portion of the net proceeds from our IPO in July 2014 along with cash on hand to repay $90 million of our outstanding incremental term loan and $32.2 million of our outstanding balance on our senior PIK notes. For the quarter ended 2015, we reported net income of $0.1 million, compared to a net loss of a $0.5 million in the first quarter of 2014. The change was primarily attributable to cost savings from reduced interest expense, which was partially offset by increases in corporate expense or costs associated with being a public company. Importantly, we would like to emphasize that the provision for income taxes included on the face of our income statement is for GAAP financial statement purposes only. We maintained significant tax attributes including over $60 million of NOL carry-forwards and our substantial tax assets related to the tax amortization of our intangibles. Given these tax attributes, we do not expect to be material cash taxpayer until approximately some time in 2019 with minimal payments beginning approximately end of 2018. As Steven mentioned earlier, we successfully completed the refinancing of our capital structure on April 1. Pro forma for the refinancing, we have total debt of $575.4 million outstanding. This balance consists of $300 million of 6.5% senior notes due 2023 and $275 million of senior secured term loan facility due 2022 at L+325 basis points with a 1% LIBOR floor. We also entered into a new five-year $50 million revolving credit facility at L+250 basis points, which is completely undrawn. Net proceeds from the refinancing together with cash on hand, we used to repay all amounts outstanding under our previous notes and credit facility. This refinancing allowed us to take advantage of today’s low interest rates and rebalance our capital structure resulting in an annual interest savings of approximately $11 million. Further, the new debt incurred in our refinancing was borrowed by [indiscernible] Townsquare Media, Inc. We are leaving the company of the administrative burden by reporting our results on two levels as a wholly-owned subsidiary, Townsquare Radio, was the borrower under the previous capital structure. As of March 31, 2015, our total and net leverage was 5.5 times and 5.1 times respectively. Pro forma for the new refinancing, which included $27.7 million call premium on our senior notes, our total net leverage was 5.9 times and 5.6 times respectively. We ended the quarter with a cash balance of $38.2 million and had revolver capacity of $15 million. Pro forma for the refinancing, we had a cash balance of $26.1 million and an undrawn revolver of $50 million. We feel confident that we have sufficient liquidity available for us to operate our business efficiently and service our debt in the ordinary course. Finally, as of today, the company has 26.9 million shares outstanding inclusive of warrants. Turning now to our outlook for the second quarter of 2015. We expect pro forma net revenue to grow in the high single-digit as a percentage over the second quarter of last year. We expect pro forma adjusted EBITDA to increase year-over-year by a low single-digit percentage. For the full year 2015, we reaffirm our formal guidance of pro forma net revenue year-over-year growth in the mid to high single-digit and pro forma adjusted EBITDA to grow year-over-year in the low single-digit, excluding the impact of political. With that, I will now turn the call back over to Steve.
Steven Price: Thanks, Stu. We are pleased with our first quarter results that are in line with the guidance we provided last quarter and are excited about the company’s position going forward. As always, we remain active in shareholder outreach and continue to explore operating and strategic opportunities to grow shareholder value. As we have discussed in the past, we continue to evaluate capital allocation alternative and will prioritize accretive, organic and acquisition investment opportunities and debt repayments with a medium-term leverage target of approximately 4 times. We invite those of you that may be new to the Townsquare story to read our shareholder letter and review our investor presentation both of which are available on our equity investor website. Please do not hesitate to call us with any questions you have or just to check in. Thanks again for taking the time to dial in this morning. And with that, we are now happy to open the call for questions. Operator, will you please open up the lines.
Operator: Thank you. Ladies and gentlemen, we will now be conducting a question-and-answer session. [Operator Instructions] Our first question is from Michael Morris of Guggenheim Securities. Please go ahead.
Michael Morris: Thank you. Good morning guys. Two topics, advertising and the live events. First on the advertising, can you talk a bit about whether you believe that you are taking share in the markets that you are in and that you’ve been in for a while. And second of all, if you just separate the trajectories of the radio versus the digital businesses, can you give us any more color there on what those growth rates are looking like? And maybe whether most of your customers or clients use both your radio offer and your digital offer? Whether you are seeing separation between the two? And then I have one on live event.
Steven Price: Sure. Thanks, Mike. On the share, we believe that in many of our markets we are to making share locally as well as in some cases nationally. It’s sometimes hard to tell because in the vast majority of our markets that aren’t firms attract that, but anecdotally and from what we hear and what we see in our radio as well as what we think is, the overall radio market with the local market versus what we are doing, we do think we are increasing our share. On the second, as you know Mike, we don’t breakout local radio versus local digital. It’s the same content creators, the same sales people sell it. To some extent, we are agnostic. It’s the local advertiser who wants to invest in KLAQ or klaq.com to reaching an audience that’s interacting with our brand. And whether or not they want to do that through the radio, through our online stream, to our online content, they’re going to interact with our brand. So when you don’t parse it, we try not to track it that way. We try to compensate that way and we will look at it as local advertising. And the last thing, I think you asked, I am sorry because I have seen an increasing number of clients as I interpreted your question, increasing number of clients buying more than one product from us, and I would say yes we are.
Michael Morris: Okay. So less digital only more buying multiple. I guess that was kind of the question, whether you are seeing folks move to digital only or people coming in there versus buying the entire suite of products if you will.
Steven Price: Yes. They are looking at this as a cross platform multiproduct sales process. It’s how we go-to-market and we look at what’s best for the advertiser and a lot of times its hitting the consumer multiple ways and I would say – this is something we track an increasing number of our clients are taking more than one product. So we are near vernacular not just buying radio or not just buying digital.
Michael Morris: Great, great. And then on the live event side, I know one of your focus was franchising or growing the franchises of some things you’ve invested in and I know it was insane inflatable or something you guys highlighted in the past. At the same time you made the investment and we’ve heard you, you shut down a couple of events. Where are you do you think in terms of getting towards steady state and your financials reflecting the value of the franchises versus still sort of positioning especially if I look at any other events that may be discontinued.
Steven Price: Yeah, but I hope we never get the steady thing. We are looking at growing all the time and those pruning and culling events that don’t need the threshold, and continue to add franchises. So with the two music festivals, we did a – we made an attempt in early 2014 that is well before we were public, if we were public I am not sure, maybe – I am not sure when we decided to go into these music festivals which were not in U.S. we would have done this. But when we decided to try this in early 2013 because it takes about a year to plan this, we thought it could leverage a lot of the expertise we have and we were going to go testing this theory out. We did it in such a way where we didn’t sort of get our head blown out. We didn’t lose a bunch of money, in fact. We got a bunch of revenues; it just didn’t really make money, so as we – in early 2014. So when we looked at it 2015 – these two music festivals for 2015, we said, did that meet the threshold? It’s a lot of time, it’s a lot of effort, it’s really no margin, does that make sense? And we decided not to continue it. That doesn’t happen all that often in our company. And I can’t think of more than a handful of times where we’ve done something of any scale and candidly it hasn’t worked. I’m sure it will happen in the future. But these two music festivals in particular, just – we didn’t think it made sense to do this year. We know it would have – since we went public, then we realized it would have a impact on the year-over-year compound revenue, but we are trying to run the business for what’s the best thing to do for the business, what’s right for our company, not that issue. So we decided not to go do it. In terms of the franchises, we do have Insane Inflatables, which isn’t really a first quarter event; it’s more of an outdoor event, so we had some expenses in the first quarter. So that’s continuing throughout the year. We are adding and we will do more than 70 of those this year. We do have America on Tap, which has about the same number throughout the country. And we are constantly thinking and testing new concepts or new franchises in your words that we can start out. By first year we did three or four Insane Inflatables, we tested it out. Then we did 21. So we scale it. If it doesn’t work and we have some – we tried, I don’t know, wine parties or something in one or two markets, that couldn’t scale, so we don’t do that. But if something works, then we will roll out across all of our markets. So that’s the way we think of the live events. So I didn’t mean to be flip, when we think mass steady state, we want to continue to grow this both through acquisition and most of what we just talked about is organic, new franchises that we create.
Michael Morris: Great. Thanks a lot Steven.
Operator: Thank you. Our next question is from John Janedis of Jefferies. Please go ahead.
John Janedis: Thanks. Hi, Steven. A couple of questions. One, back to the festivals for a second, when you strip out the non-recurring festival, is the bigger opportunity going forward in non-music or music and related to that, is the profitability per live event whether it would be music or non-music trending in line with expectations?
Steven Price: Is the what trending line?
John Janedis: Is the profitability per live event?
Steven Price: Yeah, so on the first, it’s both. I need to give an answer, because it sounds like – I will try, but I will give it anyway. I think the opportunity is equally compelling in music and outside of music. So in music we have the existing festivals that we have and are continuing to make them bigger and grow the footprint, grow the number of people, grow the [ph] march, grow all things at the existing festivals and then rollout new festivals. So there are organic opportunities. Just because it didn’t work in these two music festivals, large festivals that we did outside of the country, doesn’t mean we are not starting Loudwire in conjunction in Colorado, which is a brand new music festival. Lincoln Park is headlining it. We are doing a new music festival this year, a single day up in Portland Maine, which we announced earlier this week. We are doing one in Flint, which we haven’t done before. So there are opportunities in and around our markets. I don’t think they are going to see us starting brand new music festival in California or in Florida, some place where we don’t have footprint and expertise. And then on the non-music side, we have a new 5K run in addition to Insane Inflatables that we are doing a handful of events this year. There are a whole bunch of other things that we are testing. So, I think it’s both. And in terms of profitability, yeah, the live event margin, direct profit margin increased 4.4% to 7.3% from the first quarter in 2014 to the first in 2015. So while not heroic, it is the first quarter and it is improving. Lot of events aren’t in the first quarter, but you have the expenses in the first quarter. So we do still see a lot of profitability opportunities in the live event business.
John Janedis: Got it. Okay. And then, just you talked about the impact from weather on the local side. Can you talk about what you are seeing in markets with exposure to energy and understanding the [indiscernible], does it imply that underlying local is improving?
Stuart Rosenstein: I would say - so we have some, in the first quarter we do have some oil producing markets in Texas and Louisiana, Lake Charles, Victoria, Texas, those kind of markets are a little bit up in this mark, North Dakota. I would say they have been effective to some extent in the first quarter and going into second quarter, what is significant is the impact of weather in the north-east. So these aren’t huge, huge in terms of percentage of our business and the impact wasn’t huge. But there was - I was talking to a lot of managers I guess at the end of last week and they have lost a lot of jobs, or oil hasn’t been helpful, recruiting revenues and the like we had advertising revenues from people the oilfield is down. So it will make it a little bit. Is it going to nick it, I don’t know 10% no way, but it is going to nick it, it is.
John Janedis: Okay. And then one quick one for Steve, given the revenue outlook can you update us on your expectations for headcount for the year within the local advertising segment? Does that grow?
Steven Price: It will grow a little. I would say on the margin it stays flat.
John Janedis: Okay. Thank you very much.
Steven Price: We are pretty stepped up at this point.
Stuart Rosenstein: Thanks, John.
Operator: Thank you. The next question is from David Bank of RBC Capital Markets. Please go ahead. I’m sorry, your next question is from Amy Yong of Macquarie. Please go ahead.
Amy Yong: Thanks. Congrats on the quarter. So historically political hasn’t been a huge focus for you, but it seems like political revenue is ramping up a little bit faster than lot of us were expecting. Is your going to change any strategy on that or can you just elaborate on what you are actually seeing?
Steven Price: Actually, we started this five years ago last week Townsquare. Our political strategy and our political revenues have been pretty consistent. So I wouldn’t say at least for us ramped up or ramped down, and even in the years it’s what it is - it’s never been a huge percentage of our revenues, but we don’t have a strategy. We have in our markets a lot of the political isn’t the presidential rights. It sit with our local rates, a state Senate rights, and issue rights. In the first quarter, it was something like less than 1% of revenues. So it was a decrease from $600,000 to $300,000. So it was off a few $100,000 if not a political year, but it’s not a huge driver for us and we don’t see - I hope you’re ramped to be great at the end of this year and next year are huge. But we sort of assume it will be, what it will be what it has been. We are thinking about our 2016 strategy because we do have some markets in Iowa, markets in New Hampshire for example that we didn’t have in the past.
Amy Yong: Great. And then just one first to, can you talk about the working capital need for this year perhaps as you ramp up the live events business and how we should think about it relative to last year?
Steven Price: Sure. So not a huge increase, okay, because the working capital, it’s a very short period of time where you have to make your contracts, but upfront and then you get the ticket sales kind of coming in. You don’t just get the ticket sales a daily event. So that doesn’t have a huge increase in working capital. Our average working capital in these are around five to seven in the summer months and they shrink down a little. It’s not a - working capital is not a big issue for us.
Amy Yong: Great. Thank you.
Steven Price: Thanks, Amy.
Operator: Thank you. Our next question is from Jim Goss of Barrington Research. Please go ahead.
Jim Goss: Alright, I’ve got a few. First in terms of leveraging expenses, obviously some can be leveraged, some are going to come with each market. I wonder if you could look at radio and the web development business in that respect, and I am ready to get the most leverage.
Steven Price: So, if I – Jim I am not sure I followed. We don’t view the expenses in our local advertising segment as broken out. So our DJ’s are also content creators for the websites. So, they are writing the blog, their audio is streaming online and they are talking on the radio. So, we don’t, I don’t know – if you wanted to break up that expense I don’t know where you would break it up because it is shared.
Stuart Rosenstein: It won’t be very much in the radio business. [indiscernible]
Jim Goss: Just facing on sales. Is it facing on the sales side where our sales reps sell all products. So, we don’t view it as second.
Stuart Rosenstein: We actually think that it is an advantage to us to be able to basically leverage that expense now that we have those content creator in those sellers Jim. And therefore get them creating multiple products that we can monetize in multiple ways.
Jim Goss: Okay, do you think any – in products the notion of timing issue setting up for an event that might be in the next quarter sort of like P&A for a film or something like that. Is there going to much of that that we had to be thinking about in terms of when expenses fall relative to when revenues are recorded or are you able to match them on an accounting basis.
Stuart Rosenstein: Yeah, it’s not going to be much. As far as the timing issue. Not much for low $100,000.
Jim Goss: Okay and then do you see any seasonality in the smaller markets that is different from that, you know when you mentioned weather in some of those things, what seasonality issues versus the where the major markets radio operators would deal with?
Stuart Rosenstein: No Jim. Our seasonality is the same against all five markets by quarters. Our second quarter is our largest and the third, then our fourth, and the first is the smallest. And just a matter of adjust scales. The smaller market both the same thing in those quarters just on the smaller scale.
Jim Goss: And then maybe last niche, but the diluted share base I think was 7.9 million shares versus the – share based I know you would like to think of as being the appropriate share base with the warrants. What is included in the share base, because I would think maybe on a diluted basis you might factor in the ones and calculating your bottom line numbers?
Steven Price: The warrants are anti-dilutive so they won’t be included because we had a net loss for the quarter.
Stuart Rosenstein: Yes that’s right.
Jim Goss: Distributor in general with the – how do you arrive at that 7.9 million.
Stuart Rosenstein: How do you what the 7.9 million Jim?
Jim Goss: How do you arrive at that figure?
Stuart Rosenstein: It might be a discussion we want to take offline just to soon or later the point with everyone else because it is a fairly complicated gap driven answer, but the way we think of the number of shares outstanding that we have as a company is to include our warrants so we have all the shares that are disclosed in the cover of the queue plus the 9.5 warrants is 26.9 million shares outstanding.
Jim Goss: Right. Okay.
Steven Price: Let me just …
Jim Goss: That’s all I have for right now. Thank you.
Steven Price: Right thanks.
Operator: Thank you. The next question is from Michael Kupinski of Noble Financials. Please go ahead.
Michael Kupinski: Great there, and congrats on the quarter.
Steven Price: Thanks, Mike.
Michael Kupinski: I’m pleased to see that there is an acceleration in revenues in the second quarter and I was wondering if you can provide a little more granularity on the local advertising front where that categories are driving that improvement and some of the companies has provided early pacings for the third quarter and indicated that those patients are building upon the stronger second quarter, I was wondering if you can provide any early thoughts on the third quarter at this point?
Steven Price: Yeah. We don’t provide, thank Mike, we don’t provide guidance for the third quarter. We provide, our policy as a quarter ahead of time. So, I would rather sort of stick to that. In terms of the first quarter. Some of the stronger categories were health food, real estate. Some of the weaker categories were entertainment, financial services, we talked about political and then services sort of as a broad category. Auto was slightly up.
Michael Kupinski: Okay and in terms of there is like a lot of moving parts as you mentioned about live events, and margins were better than expected in the first quarter, how do you manage the live events, I mean obviously like cancelling two of those previous events from last year, you had some margin thoughts in mind and I was wondering, do you have margin goals for the division for this year or what – how are you particularly managing the business from a margin expectation?
Stuart Rosenstein : I would say to step back, we look at our live event business as a really strong business and a good growth driver, so we are trying to – within the confines of being a public company, we are trying to run that business for the next 100 years and try to say what’s the right thing to do long term for this business. And if it is a take a chance on the new festival, so we are doing at with the New Rock festival at Loudwire and Grand Junction this summer. We think that’s going to be a great asset in the long-term. That’s going to help build shareholder value, but during the first year music festival lose money, almost all it does, we know that we’ve done this many times, we think it makes sense, so we are not doing 50 of them, we are doing one or two of them. So, we try to balance the growth with the understanding and building shareholder value with understanding that we do have constraints as a public company, we will try not to be prudent in a given year. So, we are – each event has sort of a different margin characteristic, you know I don’t think we have given the guidance overall long term for our live event business. We do have for all our 500 plus live events we have a separate P&L. So, we don’t [indiscernible] light then if they have a certain margin characteristic, but it is different. So, a first year large scale unit festival, you know we are going to have a different profile than the 71st insane inflatable, which should have obviously a very, very strong margin. So, if you take out Tropical Nights, our revenue growth was something like 50%. You know those music festivals that I talked about. So, we think there is a lot of growth here, are we going to makes mistakes along the way. We are totally going to make mistakes. What we try to do and this is a great example is in-building shareholder value minimizing the mistakes. So, minimizing the cash flow loss and when you realize we did something that isn’t going to hit we shut it down quickly. So, we are not going to say, you know what we blew it, let’s double blow it by trying it one more time. So, that’s the two music festivals or an example of both of those.
Stuart Rosenstein : Sorry [indiscernible].
Michael Kupinski: That’s okay, thanks. And in terms of the – obviously you have a large cash position and access to revolver, I was wondering if you could talk about the M&A pipeline at this point?
Alex Berkett: Yeah. Thanks Mike. We continue to be active. We continue to look at a lot of things in the space, both in radio and events in digital, right now there is nothing particularly eminent, as you know our strategy focuses on finding the right type of assets which means dominant market position, strong market position and the right type of markets which means small mid-size markets at the right price. And right now we don’t see anything that meets all three of those targets.
Michael Kupinski: Okay. Thank you. That’s all I have thanks.
Alex Berkett: Okay. Thanks, Mike.
Operato: Thank you. [Operator Instructions] The next question is from David Bank of RBC Capital. Please go ahead.
David Bank: Alright, rising like a Phoneix back, sorry about that. Morning.
Alex Berkett: Good morning.
David Bank: You guys talked about growth in the live events business, coming from organically from things like merchandising and other opportunities and growth from the kind of acquisitions side, but it seems to me that in some of your markets, like you haven’t really talked about – that much about ticket pricing and you sort of have the monopoly on fun in some of these markets, given their size and what’s going on and you have a relatively strong economy, at least given the new normal definition of strong economy, what is your outlook for your ability to increase ticket pricing and how that could kind of move the needle on the business, and how is it looked over the past couple of quarters and how do you see it over the next couple and sort of longer term. Thanks.
Steven Price: We view our live events business as, as you said, having a lot of levers, right. It is to deal with the venue which has an extensive issue not a revenue issue. As you said, ticket prices, its concession, its sponsorship, it’s parking, it’s not only ticket prices but the number of attendees and then the number of days you do something, and the number of events. So it’s an interesting business which is why we have important guy running it for us to try to figure out all the levers. And to answer your question, yes, we do think that there is a opportunity to increase ticket prices and we do do that. We tend to suit where we don’t take the less dollar, that has not been our strategy from the very beginning, so we try to make these family friendly affordable event. So in Buffalo, you could go to our in June and if you go, [indiscernible]. In early June at the Coca-Cola Field, ballpark up in Buffalo, the main ticket is $25. And they do have some VIP at $60 and $55, but most of the tickets are $25 which for festival with three have minors and three second, from five in the afternoon to 11 o’clock in the night is pretty good value. Could we charge more? We could but those are also, those people are listeners to WRK, there are people that do other things. So we never try to take the last dollar, but there is opportunity - we have grown ticket prices and we think there is a night opportunity going fuller as we do more and more events, as you put an ominous field and start using it, we do try to monopolies fun in our markets.
David Bank: Okay. I guess just a quick follow-up if I can on the impact of the winter too, you guys are all pretty experienced at running businesses across lots of territories and there is always going to be outliers in various conditions and I am not really a meteorologist, but I don’t - if the winters are sort of just going to be like this from now on, should we really be carving out extreme weather or should we just kind of growth through these kinds of business conditions?
Steven Price: I think we should probably be able to grow through these different conditions is the short answer. And you can park that number anyway and you couldn’t make lots of excuses for lots of different things. I would say that we felt and we’ve been at this for five years now. It was a unique winter, not in the sense of cold because who cares, you put on a cold, you lost and the number of selling days lost. So if there is a major snowstorm in Boston, more than a century and your sales rep in New Bedford, you’re just not the one out on Tuesday. And if you wanted to go, visit a client, the client is not going out, selling day loss. Although it is frustrating, if you miss two selling days back-to-back, you would think, oh, you could just sell that client, the next day because I still need to buy advertising, but there is definitely the loss. I will bang my head while I am trying to explain it to myself. But you definitely lose revenues if you lose a selling day. So I take your point that winter is winter, weather is weather, but it does have something to do with a number of - for whatever reason, number of selling days lost I think more than the cold.
David Bank: Terrific. Okay, thank you very much guys.
Steven Price: Thank you.
Operator: Thank you. I would now like to turn the conference back over to Mr. Price for any additional or closing remarks.
Steven Price: Great. Thank you all for listening. Again we appreciate your support in helping us try to build a great company. If you have any questions or comments throughout the year, don’t hesitate to call and we hope to see you in one of our markets, one of our events or on the road. Thanks.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time and thank you for your participation.